Operator: Greetings, and welcome to Ameren Corporation's Second Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Andrew Kirk, Senior Director of Investor Relations and Corporate Modeling for Ameren Corporation. Thank you, Mr. Kirk. You may begin.
Andrew Kirk: Thank you, and good morning. On the call with me today are Marty Lyons, our Chairman, President, Chief Executive Officer; and Michael Moehn, our Senior Executive Vice President and Chief Financial Officer; as well as other members of the Ameren management team. This call contains time-sensitive data that is accurate only as of the date of today's live broadcast and redistribution of this broadcast is prohibited. We have posted a presentation on the amereninvestors.com homepage that will be referenced by our speakers. As noted on Page 2 of the presentation, comments made during this conference call may contain statements about future expectations, plans, projections, financial performance and similar matters, which are commonly referred to as forward-looking statements. Please refer to the forward-looking statements section in the news release we issued yesterday as well as our SEC filings for more information about the various factors that could cause actual results to differ materially from those anticipated. Now here's Marty, who will start on Page 4.
Martin J. Lyons: Thanks, Andrew. Good morning, everyone. In Ameren, we power the quality of life for millions across Missouri and Illinois. Our strategic approach is built on 3 fundamental pillars: making prudent investments in rate-regulated energy infrastructure, advocating for responsible energy policies and continuously optimizing our operations to create long-term sustainable value for our customers, communities and shareholders. This strategy is not just about keeping the lights on. It is about paving the way for a cost effective, more reliable and resilient energy grid that meets our customers' growing needs and driving regional growth for decades to come. As highlighted on Page 5, we made solid progress on our key strategic objectives in the first half of the year, which will help us deliver on these commitments to our customers and shareholders. During the first half of the year, we invested over $2 billion in critical infrastructure, advanced key regulatory proceedings and delivered strong operational performance, all while keeping our average electric rates below the national and Midwest averages. In the second quarter, we experienced a high number of severe weather events, including an EF3 tornado on May 16 and that spanned a mile wide and traveled 23 miles through Central St. Louis County and Northern parts of St. Louis City and into Illinois. This tornado caused extensive damage and widespread outages across Ameren Missouri and Ameren Illinois. We deployed more than 2,700 field personnel in the days following the tornado including Ameren crews, contractors and supporting resources from across the Midwest, who responded swiftly and safely, rebuilding damaged infrastructure, replacing nearly 1,000 poles and restoring service to more than 290,000 customers. Weather events like those experienced earlier this year underscore the importance of our ongoing investments in a more resilient energy grid. Enhancements like upgraded substations, composite poles designed to withstand high winds and smart technologies that enable faster outage detection and automated grid self-healing are helping us restore power safely and more quickly when these serious storms strike. We remain focused on making these investments responsibly, balancing reliability and resilience with affordability. Now let's cover the financial results for the quarter as shown on Page 6. Yesterday, we announced second quarter 2025 earnings of $1.01 per share compared to earnings of $0.97 per share in the second quarter of 2024. The key drivers of these results are outlined on this slide. We continue to expect 2025 diluted earnings per share to be in the range of $4.85 per share and $5.05 per share. Turning to Page 7. I'll provide an update on economic development activities in our region and associated sales growth opportunities. We continue to expect approximately 5.5% compound annual sales growth from '25 through 2029 in Missouri, primarily driven by increased data center demand. We remain engaged with potential data center customers and are building a robust pipeline of large load opportunities that extend well into the next decade. As discussed on our first quarter call in May, we've executed construction agreements with data center developers representing approximately 2.3 gigawatts of future demand with this load expected to begin ramp up in late 2026 and beyond. These developers have demonstrated their confidence in and commitment to their potential projects by submitting nonrefundable payments totaling $28 million towards the cost of necessary transmission upgrades. And we are actively engaged with potential customers to execute Electric Service Agreements, or ESAs that are aligned with our proposed Missouri large load rate structure and, among other things, would establish anticipated minimum ramp schedules. Like our proposed rate structure, which I'll talk about in a moment, these ESAs will be subject to Missouri PSC approval. In addition, data center developers with existing construction agreements have requested that we study expanding their data center projects, given our competitive power rates and access to desirable construction sites with available transmission interconnection. Of course, in order to support economic opportunities, as we outlined in our preferred resource plan in February, we must quickly accelerate generation portfolio additions to provide the energy and capacity needed to serve these customers. On Page 8, we provide an update on generation resources currently under development at Ameren Missouri and new Certificates of Convenience and Necessity, or CCNs, requested from the Missouri PSC. In June, we requested a CCN for the big Hollow Energy Center, which, as proposed will consist of an 800-megawatt simple cycle natural gas energy center and a 400-megawatt battery energy storage facility. Both of these facilities will be located at the site of Ameren's retired Rush Island Energy Center which will reduce construction time and cost for our customers and keep jobs and tax base in the community. Subject to commission approval, we expect the Big Hollow Energy Center will begin serving customers in 2028. Our generation development efforts remain on schedule as we work toward achieving targeted in-service dates. To proactively manage supply chain risks we've already secured key components with long lead times, such as turbines and transformers for our energy centers with expected in-service dates through 2029. And we've begun equipment procurement activities for our first natural gas combined cycle energy center. We expect to have purchase commitments in place for turbines and related equipment by the end of this year and for the combined cycle energy center to be serving customers by 2031. It's important to note that the significant investment needed to construct data centers as well as the energy infrastructure needed to support them will create meaningful job growth and tax revenues to support our local economy. In addition to the energy and capacity to serve these large load customers to realize this opportunity, we must also offer attractive rates. On Slide 9, we outlined Ameren Missouri's proposed large load rate structure, which we filed with the Missouri PSC in May. Under the proposed large load rate structure, we would deliver service under our existing large primary service base rate, which is currently approximately $0.06 per kilowatt hour and customers would agree to additional terms and conditions as part of an ESA. The additional terms would include a minimum service term of 15 years, a minimum demand charge of 70% of contracted capacity, customer exit provisions and customer credit and collateral requirements. In addition, new customer programs would be available, allowing customers to advance their clean energy goals by supporting the carbon-free energy resource of their choice through incremental payments. In summary, this rate structure would offer a competitive rate designed to ensure large customers pay their fair share of the cost of service. We're actively engaging with key stakeholders as we seek Missouri PSC approval for our proposed large load rate structure and related customer programs. While no deadline exists for Missouri PSC approval, based on the existing procedural schedule, we would expect a decision by February 2026. Moving now to Page 10 for an update on the long-range transmission planning process at MISO. Our focus remains on building the tranche 1 and tranche 2.1 long-range transmission planning projects assigned to us and developing strong proposals for tranche 2.1 long-range transmission planning competitive projects. The bidding and selection process for the $6.5 billion portfolio of competitive projects will take place over this year and next. We are carefully evaluating each bidding opportunity and will submit bids for projects where we believe we offer a clear advantage on project design, cost and execution to deliver value for customers in the MISO region. As we have successfully done in the past, when it enhances the strength and competitiveness of our proposals, we expect to partner with other entities. Further, MISO continues its future scenario redesign efforts, which will incorporate significantly increasing energy demand and updated resource mix assumptions across the region. We expect this analysis to show the need for significant transmission investment in the region, which is expected to be incorporated into later project portfolios in MISO's long-range transmission planning. MISO is now expected to issue its final report outlining 4 scenarios of possible future energy grid conditions in early 2026. We expect this will lead to identification of specific transmission infrastructure investment needs in our region late in 2026. Moving to Page 11. Looking ahead over the next decade, we have a robust pipeline of investment opportunities, which stands today at more than $63 billion that will deliver significant value to all of our stakeholders by making our energy grid stronger, smarter and cleaner and powering economic growth in our communities. Turning to Page 12. In February, we updated our 5-year growth plan, which included our expectation of a 6% to 8% compound annual earnings growth rate from 2025 through 2029. And we expect to be near the upper end of our guidance range in the mid- to latter part of our 5-year plan. This earnings growth expectation is primarily driven by our sales growth assumptions and strong anticipated compound annual rate base growth of 9.2%, reflecting strategic allocation of infrastructure investment to meet these demands and strengthen the grid in each of our business segments based on their regulatory frameworks. We expect to deliver strong long-term earnings and dividend growth, resulting in an attractive total return. I'm confident in our ability to execute our investment plan and strategy across all 4 of our business segments as we have an experienced and dedicated team to achieve our growth objectives. Again, thank you all for joining us today and for your continued interest in Ameren. I will now turn the call over to Michael.
Michael L. Moehn: Thanks, Marty, and good morning, everyone. Turning now to Page 14 of our presentation. Yesterday, we reported second quarter 2025 earnings of $1.01 per share compared to earnings of $0.97 per share for the second quarter of 2024. The key factors that drove the increase are highlighted by segment on this page. Our investments to strengthen the energy grid and provide more energy resources to serve our customers to continue to be the primary driver of earnings growth across the company. In addition, we continue to experience solid customer growth at Ameren Missouri, where total normalized retail sales over the trailing 12 months through June increased across all customer classes with an overall increase of approximately 1%. Moving to Page 15. Due to strong year-to-date performance, we are well positioned to deliver earnings per share in the top half of our 2025 guidance range. Here, we have outlined select earnings considerations for the remainder of the year, including the expected quarterly earnings impact from the constructive resolution of Ameren Missouri's 2024 electric rate review. Further, I'd like to also highlight the Commission approved a unanimous settlement in our Ameren Missouri 2024 gas rate review last month. New rates for our natural gas customers will take effect on September 1. As mentioned, normalized sales in Missouri have remained strong. The strength is particularly evident in the industrial class, with sales up more than 2.5% on a trailing 12-month basis through June. Growth in this sector has been supported primarily by ongoing manufacturing expansions and the continued growth of new digital and communication services firms. Looking ahead to the second half of the year, we expect sales growth from a few new small-scale data centers, along with continued strength in the manufacturing sector. We continue to maintain disciplined cost management throughout the company. In the second half of the year, we plan to increase vegetation management center in targeted operating regions to support system reliability and grid resiliency. This is in response to more robust vegetation growth driven by weather conditions experienced this spring and early summer. I encourage you to take these supplemental earnings drivers into consideration as you develop your expectations for quarterly earnings results for the balance of the year. Now turning to our financing plan on Page 16. To support our credit ratings and maintain a strong balance sheet while we fund our investment plan. In February, we outlined a plan to issue approximately $600 million of common equity each year through 2029. We've effectively fulfilled our equity needs for 2025 and 2026 through forward sales agreements. We feel very good about our financial position and the progress we've made in our equity financing plan. Having utilized most of the capacity available under our existing equity sales distribution program, we expect to increase the program capacity to enable additional sales to support equity needs in 2027 and beyond. On the balance sheet front, Moody's and S&P affirmed our Baa1 and BBB+ issuer credit ratings, respectively, in their annual credit opinions issued in the second quarter, a signal of our ongoing financial strength and stability. On Page 17, we provide an update on federal tax and energy policy enacted in July. Significant advocacy across the industry helped ensure that federal policies continue to support investment in energy resources nationwide to meet rising energy needs. As we work to provide the substantial generation required to serve growing demand, energy-related tax credits helped to reduce the cost of these resources for our customers. We expect these credits to provide approximately $1.5 billion of cost savings for our customers from 2025 through 2029. Under the One Big Beautiful Bill Act, we are well positioned to realize all the energy tax credits reflected in our current 5-year plan. Approximately $750 million worth of credits are expected to be generated by wind and solar projects either already in service or planned to be in service by 2027. We also expect to begin construction before the end of the year on battery projects, which we anticipate will generate $250 million of credits. And finally, we expect to begin construction on additional solar projects this year and meet in-service dates for safe harbor to generate the remaining $500 million of credits. On Page 18, we provide a brief update on ongoing regulatory proceedings in Illinois. Our 2024 annual reconciliation proceeding under the electric multiyear rate plan continues to progress. In July, the Illinois Commerce Commission, or ICC staff recommended a reconciliation adjustment of $49 million compared to our updated request of $60 million with the variance primarily driven by treatment of other post-employment benefits. An ICC decision is expected by mid-December and rates reflecting the approved reconciliation adjustment will be affected by January 2026. Turning to Page 19. In July, the ICC staff recommended a $103 million annual base rate increase in Ameren Illinois natural gas distribution rate review. The variance from our request for $135 million increase is primarily driven by staff recommendation of a 9.93% return on equity and a 50% common equity ratio. An ICC decision is expected by early December with new rates effective later that month. We also saw regulatory progress in transmission development in July for both Missouri and Illinois as the Missouri PSC and the Illinois Commerce Commission approved CCNs for tranche 1 long-range transition projects. These approvals will allow the construction to begin on schedule in 2026. In summary, turning to Page 20. Our strong performance in the first half of the year has positioned us well to continue executing our strategic plan. which will drive superior value for all of our stakeholders. We continue to expect strong earnings per share growth to be driven by robust rate base growth, disciplined cost management and a strong customer growth pipeline. Our strategy and team are well aligned to capitalize on these opportunities for our customers and shareholders. We believe our growth will compare favorably with the growth of our peers. Further, Ameren shares continue to offer investors an attractive dividend. In total, we have an attractive total shareholder return story. That concludes our prepared remarks. We now invite your questions.
Operator: [Operator Instructions] Our first question is coming from Jeremy Tonet of JPMorgan.
Jeremy Bryan Tonet: Just wanted to touch base on data center load, if I could here. We've seen a number peers lift their pipeline this quarter I was just wondering if you could talk a bit more about what Ameren sees here with regards to economic development coming to the service territory and outlook for future growth here.
Martin J. Lyons: Yes. You bet, Jeremy. I'll tell you, we remain really excited about the opportunities we have ahead of us. we continue to see really robust interest and really strong momentum in the second quarter and here into the third with the data center developers and hyperscalers. Earlier this year, we bumped up the data centers with -- in our pipeline with signed construction agreements, as you know, to 2.3 gigawatts of signed construction agreements. And I'd say in Q2 and in Q3, as we've gotten through July, we're right where we expected to be. We filed our tariff, our proposed rate structure, if you will, in Q2. And now we're actively engaged with hyperscalers, negotiating ESAs aligned with that tariff that we proposed to the Missouri Public Service Commission. And -- we feel good about the tariff that we filed, and we're working through that. In the meantime, I can tell you that developers and the hyperscalers are asking us to study expansion relative to the existing sites where we have construction agreement. And that simply adds to our excitement because I think it extends the pipeline of investments and jobs and economic development for our region. And of course, the sales growth opportunities we have beyond 2032, which we've outlined our expectations for that on Slide 7. So conversations, the work we're doing continues to progress as expected, and we're real excited about the outlook.
Michael L. Moehn: Jeremy, it's Michael here. I agree with the anything that Marty said there on the data center side. But as I indicated in my talking points, I mean, I think just foundationally, the overall economy just remains very strong in our service territory here. on that trailing 12 months, we said we saw 1% growth overall. It was in every class residential one, commercial one, industrial, in particular, about 2.5%. And I know there's a lot of focus on the data center, so rightly so. But I mean, there is some really good momentum just from a manufacturing perspective, which obviously has jobs associated with it. You talked about this. Air dominance contract that was awarded to Boeing. It's probably a $20-plus billion investment over time in the F47. Unilever has had some nice expansions, GM, et cetera. They're smaller data centers that are going downtown. I know they don't get quite the same attention, but these are kind of starting out of 5 megawatts ramping to 25 over the course of the next couple of years. So it does provide, I think, just a nice backdrop into the overall economic development opportunity.
Jeremy Bryan Tonet: Got it. So nothing to read into the unchanged pipeline here. These things are lumpy and happen when they happen?
Martin J. Lyons: Yes. I would say the pipeline is -- this is Marty, by the way, Jeremy, the pipeline remains extremely strong, both in Missouri and Illinois. So no change in the number of construction agreements signed, but the pipeline of opportunity is still very large, folks looking at data center development in both Illinois and Missouri in the near term. But as I want to highlight again, we're seeing some extension of that pipeline as well as some of these developers and hyperscalers are really asking about expansion opportunities beyond the current data centers that have been identified and looking at expansion opportunities, which we're studying along with them. So yes, the pipeline remains really strong and feel really good about the data center construction agreements that we have. And as you know, the 2.3 gigawatts assigned construction agreements really marries up very well with the sales expectations that we've outlined previously. I mean we have sort of a midpoint of expected growth in Missouri of about 1.5 gigs of sales out through 2032 that aligns with that 5.5% sales growth. But as outlined in our integrated resource plan we filed earlier this year in Missouri, we're investing in generation that could serve up to 2 gigs by 2032. And even more beyond that. And we think that marries up real well with that 2.3 gigawatts of signed construction agreements. And again, just very happy with the progress we're making with the end-use customers with hyperscalers in terms of negotiation of energy services agreements that would allow us to serve them as they move into these data centers and ramp up load.
Jeremy Bryan Tonet: Got it. That's very helpful there. And maybe continuing with the thought. We've seen a number of peers firming spots in the turbine slot queue. If higher growth does materialize, has Ameren look to derisk turbine slots needed here for any growth beyond the preferred resource plan?
Michael L. Moehn: Yes, Jeremy, it's Michael here. Look, again, we feel good about the near-term process we've talked about this with respect to the 2 simple cycles that we have coming online here in '27, '28 teams actively got in front of the queue there, long lead time materials, as Marty talked about, got shovels in the ground. A lot of work to be done there, but feeling good about meeting those in-service dates for '27 and '28. We have that combined cycle, which is out there in 2031, some active conversations going on at this point. I think I may have indicated at 1 point we were in the process of going through an RFP. I think over the course of the next 60, 90 days, we'll have locked that in. But I think the preliminary discussions are the teams feeling good about that time line that 2031 and that's obviously a big project. So beyond that, we continue to stay flexible and agile, but that's what we got going on at the moment.
Martin J. Lyons: Jeremy, this is Marty. Just to add to what Michael said. I mean he's absolutely right. I mean our focus is on making sure we shore up the resources to be able to execute the preferred resource plan that we've got out there, marries up very well again with the low growth opportunities we're seeing. But as I said on one of our prior calls, I mean, to the extent that the load growth ultimately looks like it may exceed some of what we've outlined in our Integrated Resource Plan and what we've got on Slide 7, we're certainly exploring other opportunities to enhance our generation portfolio to be able to serve that incremental sales growth. But as Michael said, our focus right now is really bringing this 1.5 to 2 gigs of sales growth by 2032 to fruition and building the resources to serve it, but at the same time, to your point, exploring opportunities to expand beyond that.
Jeremy Bryan Tonet: Got it. That's helpful. And if I could just round out the thought quickly here. Just wondering, as far as access to gas needed for the plans, as you outlined here, have you signed up for a sufficient gas transmission today. And is there a need for any new pipeline? Or can this all be satisfied with existing pipe?
Michael L. Moehn: Yes. We feel pretty good about our position today there, Jeremy. Again, this is Michael. The Meramec facility that we're repowering it obviously had gas at it already. We had some peaking units there. Rush Island, will have to do some work on repurposing that site, but feel good about what we need to get done there. And then for the combined cycle, there's also a transmission line that's very, very close to that plant. And so we have -- we'll be able to tap into that and feel good about the work that needs to get done between now and then as well.
Operator: Our next question is coming from Julian Dumolin Smith of Jefferies.
Brian J. Russo: It's Brian Russo on for Julian. Just a follow-up on some of your existing large load customers requesting studies for, I guess, expansions. I mean, how meaningful is that? Is there any sort of time line? Maybe just put it in the context with the 2.3 gigawatts you're referencing.
Martin J. Lyons: Well, we do think it's meaningful for the reasons I stated. I think that the opportunity for economic growth and development in the region, even beyond the 2.3 gigawatts that have been signed as construction agreements, I think it's exciting for our communities because of the jobs it brings, long-lasting jobs, the tax base it brings, et cetera. So I think that's all good. it's hard to say right now what the timing of that would be right now. We think about it as additive to the length of, say, the pipeline of growth that we've got. And we'll know more, Brian, as we sign some of these ESAs and we get deeper into the analysis of those growth opportunities. We really see the ESAs, these energy services agreements as outlining the ramp rates for the load that we would expect associated with the 2.3 gigawatts of signed construction agreements. Again, we've outlined in on Slide 7, what we anticipate that ramp rate to be based upon conversations we've had with the hyperscalers, the ultimate customers, but ultimately, the ESAs will outline sort of the minimum expected ramp rate over this period. And I think that will even better firm up the load growth expectations that we've got. But we see the conversations we're having, again, is very positive and we provide incremental growth. Right now, we're thinking beyond that 2032 time frame, but we'll see based on the discussions that we have.
Operator: [Operator Instructions] Our next question is coming from Paul Patterson of Glenrock Associates.
Paul Patterson: So on the 2.1, MISO awards, there has been a complaint that was filed on Wednesday, which you guys are probably very familiar with from a different bunch of state commissions, not your state commissions, but Arkansas, Louisiana, Mississippi, North Dakota, Montana, I think. What are you -- how do you -- there's that -- and there's also been this IMM case with the IMM potentially reviewing transmission plans and what have you. Just could you comment on that, what you think about what's going on there?
Martin J. Lyons: Yes. I guess, Paul, I commented on it briefly. I mean you're right and for others on the call 2 days ago, on July 30, the 5 state commissions that Paul referenced alleged that MISO violated its tariff when it developed its benefit to cost ratios for the tranche 2.1 portfolio. And they ask FERC to declassify the tranche 2.1 projects as multi-value projects. Obviously, based on the recency we're still assessing that filing and what our response might be. But look, Paul, we all know that load is growing in the region. We just talked about that. The mix of generation resources has certainly been shifting over time and capacity prices have been rising. And so all of that suggests to us that more transmission investment is needed. I think, look, we look back, MISO went through a very lengthy and consistent process of scenario planning and modeling, which ultimately led to the identification of these projects. And we support the need for the projects and the value of the project. So we're disappointed to see the filing, and we certainly hope that it doesn't delay the needed investments that we believe we need to make. So again, we're in the early stages of assessing it. It was just filed on July 30, and we'll be thoughtful about our response.
Paul Patterson: Okay. Good. Great. So the second thing is as I'm sure you guys are aware, the Trump administration doesn't seem to be as excited about renewables as perhaps the previous one, and they put out their executive order -- he put out an executive order regarding treasury guidance and what have you. And I know that you guys don't know what's going -- I mean I assume you guys don't know what's going to be in it. But I guess my question sort of is, to your point, sort of which we're making earlier, obviously, there's a need for new generation. The tax cuts basically accrue to rate payers. If there was any disruption from this guidance, in which the safe harbors or something would be I know this is kind of hypothetical, but I'm just sort of thinking ahead here. If there was a potential issue in which sand was sort of thrown in the gear, so to speak and the tax -- some tax cuts were made in eligible. What would be sort of the process to deal with that? I mean, obviously, again, to what you were sort of saying, there's a need for this -- there's a need for some generation, whatever it may be, and the tax credits are really not something that -- it's really something that accrues to rate payers, right? So I'm just sort of wondering what -- do you have any thoughts about what the process might be or what the flexibility you guys might have in terms of how you would approach a situation like that if it were to develop?
Martin J. Lyons: Yes. Paul, maybe Michael and I have kind of tag team this a little bit. I think, first of all, I'm not sure I can comment on what the process might be on that hypothetical. And hopefully, the hypothetical doesn't come to pass. I think we and the industry, obviously, we were very active on the hill as the OBBBA was negotiated and finalized. And one of the things that we really lobbied for was business certainty with respect to near-term planned projects and that if the tax credits were going to be phased out that they were done in -- that was done in a sort of a sensible way that gave us the ability to move forward with planned projects and with some certainty. And I think at the end of the day, historical treasury guidance with respect to when does construction begin along with continuity, safe harbor, some of these provisions go back more than a decade. And it's our belief that legislative intent was to rely on that decade's worth of precedent and codify it actually in the legislation in the OBBA. So we feel good about what's in the law and that it should stick and is, again, consistent with past treasury practice. So we feel good about all of that, and that's what we're going to continue to support. Michael can talk to you a little bit now about what we had in our slides with respect to the actual credits and why we feel good about the credits that we have in our 5-year plan.
Michael L. Moehn: Yes, you bet. I'll start where you kind of left off, Paul, which is we need every bit of this though, right? We need the solar, the wind, the battery. We need to continue to get every single megawatt we can out of our fossil generation, our nuclear plants as well. And again, all of these tax credits do go back to customers. That's why we advocate so hard for it. And I think we actually landed in a good spot. And Marty is right. I mean, look, we have a time-tested approach here. I mean we've had IRS guidance here for the better part of a decade under the start of construction. We've done a lot of safe harboring. Typically for us is under the physical work test. And so -- as I indicated in the talking points, I mean this $1.5 billion over the next 5 years, it's really broken down to $750 million under projects that are already in service or going to be in service by the end of '27. If you recall, we had 700 megawatts of wind that we put in service a number of years ago, that's throwing off PTCs, other things. We have about 400 megawatts of batteries that we have CCNs on that we're going to be deploying here and safe harboring by the end of '25. And then the remaining piece is associated with the solar build-out. And again, the team has worked really hard to make sure that we put ourselves in a position to have that physical work test. Again, that's been well established under IRS guidance, completely safe harbored over the next, I'd say, 30 to 60 days. So I feel really good about the visibility we have. Difficult to speculate where sort of this executive order is going to go, but we got heads down and focused on getting this generation built.
Operator: Our next question is coming from Carly Davenport of Goldman Sachs.
Carly S. Davenport: Maybe just to follow up on the previous one. As we think like post OBBBA. I know you had mentioned earlier that everything in the current plan is safe harbored. But I guess to the extent that we do get a constructive outcome on these executive orders, is there any potential to pull forward incremental projects or accelerate plans to be able to take advantage of those credits for customers?
Michael L. Moehn: Yes. I mean the team has been actively looking at that, Carly, it's Michael. Yes, they've been going through and looking at transformers and acquiring Transformers to put us in a position not only to focus on kind of this 5-year plan, but to see what else that we could potentially pull forward and make sure that we take care of these credits too. And obviously, they're extremely helpful from an affordability perspective.
Carly S. Davenport: Great. Thanks Michael. Super helpful. And then maybe just a quick update on the data center growth opportunities. I guess, any just shifts in your conversations with customers or incremental potential customers in terms of what they're looking for, the priorities are all sort of in line with previous discussions?
Martin J. Lyons: Yes. I think the priorities remain in line with previous discussions. I think, again, our sites here in Missouri are attractive for a number of reasons. But again, I think key is that we have good sites with good transmission access where we have affordable power, we have available power. I think we have good state support for these economic development opportunities. The state, I think, is very aligned in wanting to bring these development opportunities to fruition. And I think there's a good fit between what the hyperscalers, the data center developers and the state are all looking for with respect to this development.
Operator: Thank you. At this time, I'd like to turn the floor back over to Marty Lyons for closing comments.
Martin J. Lyons: Terrific. Well, thanks for your interest in Ameren. We really appreciate each of you being on the call today. As you can tell, we remain absolutely focused on strong execution of our plan. We've had a very strong start to the year. I feel really good about what we've accomplished strategically and financially. And we're going to be very focused on executing our plans for the remainder of the year and work diligently to deliver safe, reliable and affordable energy to our customers and communities. So with that, thank you all for joining us today. I hope to see many of you in the coming weeks.
Operator: Thank you. Ladies and gentlemen, this concludes today's event. You may disconnect your lines or walk off the webcast at this time, and enjoy the rest of your day.